Operator: Good afternoon, ladies and gentlemen, and welcome to the Descartes Systems Group's quarterly results conference call. [Operator Instructions] This call is being recorded on Tuesday, December 5, 2023. I would now like to turn the conference over to Scott Pagan. Please go ahead. 
J. Pagan: Thank you, and good afternoon, everyone. Joining me remotely on the call today are Ed Ryan, CEO; and Allan Brett, CFO. I trust that everyone has received a copy of our financial results press release that was issued earlier. Portions of today's call other than historical performance include statements of forward-looking information within the meaning of applicable securities laws, and these statements are made under the safe harbor provisions of those laws.
 These forward-looking statements include statements relating to our assessment of the current and future impact of geopolitical and economic uncertainty on our business and financial condition; Descartes' operating performance, financial results and conditions; Descartes' gross margins and any growth in those gross margins; cash flow and use of cash; business outlook; baseline revenues, baseline operating expenses and baseline calibration; anticipated and potential revenue losses and gains; anticipated recognition and expensing of specific revenues and expenses; potential acquisitions and acquisition strategy; cost reduction and integration initiatives; and other matters that may constitute forward-looking statements.
 These forward-looking statements involve known and unknown risks, uncertainties, assumptions and other factors that may cause the actual results, performance or achievements of Descartes to differ materially from the anticipated results, performance or achievements implied by such forward-looking statements. These factors are outlined in the press release and in the section entitled Certain Factors That May Affect Future Results in documents filed and furnished with the Securities and Exchange Commission, the Ontario Securities Commission and other securities commissions across Canada, including our management's discussion and analysis filed today.
 We provide forward-looking statements solely for the purpose of providing information about management's current expectations and plans relating to the future. You're cautioned that such information may not be appropriate for other purposes. We don't undertake or accept any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions, assumptions or circumstances on which any such statement is based except as required by law. And with that, let me turn the call over to Ed. 
Edward Ryan: Thanks, Scott, and welcome, everyone, to the call. We're coming off a great third quarter with record financial results, good organic growth and strong operating margins. We're excited to go over those with you and give you some perspective about the business environment we see right now. But first, let me give you a road map for the call.
 I'll start by hitting some highlights of last quarter and some aspects of how our business performed. I'll then hand it over to Allan, who will go over our Q3 financial results in more detail. I'll then come back and provide an update on how we see the current business environment and how our business is calibrated as we enter Q4. And finally, we'll open it up to the operator to coordinate the Q&A portion of the call.
 So let's start with the quarter that ended on October 31. Key metrics we monitor include revenue, profits, cash flow from operations, operating margins, and returns on our investments. For this past quarter, we again had outstanding performance in each of those areas. Total revenues were up 19% from a year ago, with service revenues up 18%. Adjusted EBITDA was up 17% from a year ago. Adjusted EBITDA margin was at 44%, back up to the levels before we bought GroundCloud, and we generated $56 million in cash from operations, representing 86% of adjusted EBITDA.
 At the end of the quarter, we had almost $280 million in cash, and we were debt-free, with an undrawn $350 million line of credit. We remain well capitalized, cash-generating. We have strong organic growth and remain ready to continue to invest in our business. We had a good quarter of organic growth in our core services revenues. Many of the drivers are similar to past periods. The biggest growth areas were in real-time visibility, global trade intelligence and routing and scheduling solutions, so let me touch on each of those here for a minute.
 First is real-time visibility. When you're moving goods on other people's assets on ships, planes and trucks, it's a challenge to know where your goods are. This is even more difficult if you're not the one who's arranged the shipments, if instead you book through an intermediary like a broker or freight forwarder or third-party logistics provider. To get this visibility, we need a network that sources information from all these assets and parties and presents it in a way that makes business sense. Knowing the location of a shipment and when it's going to arrive is critical to serving your customers and running your business.
 Our visibility and transportation management solutions, which include MacroPoint, provide critical help to customers. We're winning more time visibility deals and seeing strong demand from our customers, and I think there's 3 key reasons for this. The first reason is our solutions are better at tracking loads. Simply put, we track a greater percentage of loads than our competitors can.
 Customers pay us based on the number of loads that we track, so we're motivated to have as many carriers and intermediaries as possible to source location information from. If they're not already connected, we've got self-connect tools that help our customers get even more location coverage across their network of carriers. We also have customer success personnel who help expand the network in more complex cases. The outcome has been a greater percentage of loads tracked, better data, happier customers and strong growth in our business. 
 Visibility is embedded -- the second reason is visibility is embedded in many Descartes solutions. Some customers come to us just for visibility, but visibility is also embedded into many of our Descartes solutions. Our customers can make transportation management decisions, including planning who they tender to, consolidations and otherwise and ensure they have visibility while those shipments are executed. We believe we offer a more comprehensive solution than our competitors in this regard.
 The third reason is we're a reliable, stable and growing partner. Our customers take a lot of comfort from working with Descartes as a larger public company with a long track record of financial stability. Also, our customers value our lengthy experience operating secure cloud services across the globe. This makes us a service provider of choice in the real-time visibility market.
 The second area where we're seeing strong growth is in global trade intelligence solutions. There's a lot of geopolitical conflict in the world right now. When that happens, it has an impact on supply chain and logistics. Goods move on new routes away from conflict areas, sanctions are put in place, restricting who you do business with and what types of goods can be shipped. The duties and tariffs are adjusted to incentivize certain trading relationships. We've continued to see strong demand from our customers for help with these challenges.
 Our solutions help them in 3 principal areas. The first is competitive intelligence. Our Datamyne solutions provide information on trade flows, historical classifications of goods and other logistics and supply chain intelligence. This information can be used to help make decisions about your own supply chain but also to see how competitive you are with other companies' supply chains.
 Second area is tariff and duty data to make intelligent shipping decisions. We provide up-to-date data about tariff and duty rates and rules around the world, which can be used by leading global trade management systems to help run international supply chains. And the third area is compliance. These solutions help our customers make sure they're not shipping things to people they should not be shipping them to. And this may be to specific people, to specific companies, to specific geographies or, in some cases, specific goods being shipped.
 And the final area we're seeing high growth at the moment that I outlined at the beginning is in our routing and scheduling solutions. These solutions help you manage your own fleet of vehicles rather than hiring space on other people's vehicles. We believe we have the premier routing and scheduling solutions in the market. Our customers have faced pressure to use their vehicles efficiently, whether it's due to cost pressures, limited labor or environmental concerns, so we've seen continued good demand.
 Also, our customers recognize that the delivery experience is a key part of the consumer's purchase experience, so they're very interested in being able to provide delivery recipients with time-definite delivery windows and an Uber-like delivery visibility experience in the final miles. Our innovations in this area continue to drive customers with complex delivery challenges to us for our solutions.
 We were able to show good organic growth in the quarter even with some broader macroeconomic challenges in the supply chain and logistics market. As we went into the quarter, the market was bracing for reduced transportation volumes. In the quarter, we did see lower volumes, but not as bad as may have been initially expected. Our supply chain messaging and customs filing businesses saw some impact with lower transaction volumes, but not inconsistent with our plans.
 Overall, our business is designed to grow through fluctuations in transportation volumes. And the superior performance of the parts of our business that are less volume-sensitive, combined with the addition of new customers, continued to drive our organic growth. Our organic growth was complemented by the contribution of recently completed acquisitions. Several of the acquisitions are performing better than we originally planned for, resulting in more earn-out being accrued in the quarter.
 Allan will get into that in more detail in his section, but let me touch on the 2 most recent acquisitions. The first is GroundCloud. We've got about 8 months' experience with GroundCloud's safety and compliance solutions. GroundCloud helps us identify safety incidents faced by drivers and provides responsive and targeted video training on the challenges that drivers face. They also help companies manage delivery obligations as they have -- as subcontractors to other delivery brands such as FedEx.
 When we first combined with GroundCloud, we indicated we anticipated some impact on our overall adjusted EBITDA margin, which we did, in fact, see in Q1 and Q2. We've made good progress on integration, and our aggregate adjusted EBITDA margin is back up to 44% for Q3. We're also seeing good opportunity for cross-sell of the safety solutions into our existing routing customer base, and we're monitoring the impact of FedEx's increasing the number of shipments it moves through the independent contractor network as that may increase demand from customers looking for -- to help FedEx.
 The second acquisition was Localz. I spoke to this a bit earlier as Localz helps with the Uber-like delivery experience for the final mile. If you're receiving a delivery, you can track the vehicle in real-time on a map as the goods arrive. Localz has been immediately incorporated into our routing solutions, and we saw good demand for combined Localz-Descartes solutions. We're very happy with the technical capabilities and initial performance and hope to be able to share more on progress in the upcoming quarters.
 With that, let me just summarize as I hand it over to Allan to give the full financial details in the quarter. We had record financial results. The business performed well and we believe that's a good reflection of the value that our customers continue to get from our solutions, and the hard work that our team continues to put in for our customers. We ended the quarter with almost $280 million in cash, $350 million in available credit and a market opportunity where we can continue to grow the business for our customers, both organically and through acquisition.
 We remain focused on profitable growth so that we can continue to ensure that our customers have a secure, stable and growing technology partner that can help them with their challenges well into the future. Many thanks to all Descartes' team members for everything they've done to contribute to a great quarter and continuing to have our business in an enviable position for future success. 
 With that, I'll turn the call over to Allan to go through our Q3 financial results in more detail. Allan? 
Allan Brett: Thanks, Ed. As indicated, I'm going to take you through our financial highlights for our third quarter, which ended on October 31. We are pleased to report record quarterly revenue of $144.7 million this quarter, an increase of 19% from revenue of $121.5 million in Q3 last year. While revenue from acquisitions completed in the past 12 months contributed nicely to this growth. Similar to the past several quarters, our growth in revenue from new and existing customers from our existing solutions was the main driver in growth again this quarter when compared to last year.
 Looking at our revenue details further. Our revenue mix in the quarter continued to be very strong, with services revenue increasing 18% to $130.4 million compared to $110.1 million in the same quarter last year, representing approximately 90% of total revenues in the third quarter. Removing the impact of both the recent acquisitions as well as the impacts from foreign exchange, on a like-for-like basis, we would estimate that our growth in services revenue from new and existing customers would have been just over 9% this quarter when compared to the same quarter last year and fairly consistent with the first half this year.
 License revenue came in at $1.5 million or 1% of revenue in the quarter, up slightly from last year, while professional services and other revenue came in at $12.8 million, up 24% to 9% of total revenue compared to $10.3 million or 8% of total revenue in the third quarter last year, as both professional service hours and hardware revenues were higher this quarter.
 For the 9 months this year, revenue came in at $425 million, an increase of 18% from revenue of $361 million in the first 9 months last year. Gross margin came in at 76% of revenue for the third quarter, down slightly from gross margin of 77% in the third quarter of last year, but very consistent with the gross margins we've experienced since the completion of the GroundCloud acquisition earlier this year.
 Operating expenses increased by approximately 19.5% in the third quarter over the same period last year, and this was heavily related to the cost impact from recent acquisitions, primarily the GroundCloud business, but also operating costs increased from some additional investments we made in labor and nonlabor costs as we managed the organic growth that we continue to see in our business. So as a result of both revenue growth and solid cost control balanced with targeted investments in our business to manage growth, we continued to see strong adjusted EBITDA growth of 16.5% to a record $63.5 million or 43.9% of revenue, up from $54.5 million or 44.9% of revenue in the third quarter last year.
 We should mention, as a reminder, that while adjusted EBITDA margins are down slightly from Q3 last year to the dilutive impact of recent acquisitions, we did see a sharp increase in our adjusted EBITDA ratio in Q3 over Q2 of this year, increasing from 42.3% of revenue in Q2 to 43.9% of revenue in Q3. This increase is a direct result of the continued operating leverage from organic growth as well as a steady improvement in the margins from our recent acquisitions. For the first 3 quarters of the year, adjusted EBITDA has increased 14% to $182 million from $160 million in the same 9-month period last year.
 Looking at the other GAAP line items on our income statement this quarter. Other charges increased to $9.7 million, up from only $200,000 in Q3 last year, and this increase was a result of 2 unique items. First, we accrued an additional $7.8 million in anticipated earn-out payments related to recent acquisitions as these businesses have performed better than our original expectations, and therefore, better than the estimates that were made at the time of the acquisitions. In addition, as part of our ongoing efforts to maintain an effective cost structure, we initiated a restructuring plan early in Q3 at a point of heightened macro uncertainty.
 The restructuring involved a reduction of just under 2% of our labor force and the closing in whole or in part of 4 of our offices as we continue to adopt a flexible work model for our employees and realize that we had certain facilities that were not going to be actively used by our employees going forward. We would estimate that the cost savings from these completed restructuring efforts would be in the area of $4 million annually, and the resulting charge to P&L in the third quarter was approximately $1 million.
 As a result of the increased profits from the growth in the business offset by this increase in other charges, from a GAAP earnings perspective, net income came in at $26.6 million or $0.31 per diluted common share in the third quarter, very consistent with net income of $26.5 million or $0.31 per diluted common share in the third quarter last year. We should also note that the income tax expense for the third quarter came in at $8.2 million or 23.5% of pretax income, which is slightly lower than our blended statutory tax rate of 26.5%, mainly as a result of recognizing certain unrecorded tax benefits from past periods.
 Net income for the 9-month period year-to-date was $84.1 million or $0.97 per diluted common share compared to $72.5 million or $0.82 per diluted common share in the first 9 months last year, again, with the higher operating profits from our growing business being partially offset with the higher amount of other charges from the earn-out adjustments and the FY '24 restructuring plan.
 With these solid operating results, strong AR collections and offset partially by the higher cash tax payments we incurred, cash flow generated from operations remain at $56.1 million or 88% of adjusted EBITDA in the third quarter, an increase of 10% compared to $50.9 million of cash flow from operations in the third quarter of last year. For the 9 months year-to-date, operating cash flow has been $157 million or 86% of adjusted EBITDA, up 11% from $142 million in the same 9-month period last year.
 And we should mention that subject to unusual events and quarterly fluctuations, we expect to continue to see strong cash flow conversion and generally expect cash flow from operations to be between 80% and 90% of our adjusted EBITDA in the quarters ahead. As a reminder, the additional earn-out payments that we've expensed in other charges in the income statement these past few quarters will be one of those types of unusual events, as these amounts will show as a reduction to cash flow from operations in future quarters when these higher earn-out payments are made.
 Overall, as Ed said, we are once again very pleased with our quarterly operating results in the quarter as strong organic growth and solid performance from our recent acquisitions resulted in strong growth in both revenue and adjusted EBITDA for the quarter. 
 If we turn our attention to the balance sheet, our cash balances totaled $280 million at the end of October, up from approximately $227 million at the end of the second quarter in July. This increase in cash is primarily related to the $56 million in cash flow from operations that we generated in the quarter. As a result, as Ed mentioned, we have $280 million in cash available to us as of October 31 as well as our unused $350 million credit facility available to deploy towards future acquisitions, consistent with our business plan.
 As we look to the final quarter of fiscal 2024, we should note the following: after incurring approximately $4.8 million in capital additions for the first 9 months of the year, we expect to incur approximately $1 million to $2 million in additional capital expenditures in the fourth quarter of this year. At this point, we currently expect that in the fourth quarter, we'll use approximately $23.3 million of our cash to pay additional contingent consideration on 2 past acquisitions.
 While this entire $23.3 million estimated contingent consideration to be paid is accrued for in our balance sheet, approximately $12.7 million of this balance relates to the portion of the earn-out arrangements accrued for at the time of the acquisition and will be reflected in cash flow from financing activities, while the remaining $10.6 million expected to be paid will be reflected in cash flow from operating activities as the financial results from these acquisitions have both been better than our initial expectations, and therefore, the earn-out payments are higher than our original estimates made at the time of the acquisitions.
 After incurring amortization costs of $45.4 million in the first 9 months of the year, we expect amortization expense will be approximately $14.7 million in the fourth quarter, with this figure being subject to adjustment for foreign exchange and future acquisitions. Our income tax rate for the first 9 months of the year came in at approximately 24.5% of pretax income. Looking ahead into the fourth quarter, we currently expect our overall tax rate will again come in below our blended statutory tax rate of 26.5%. And as a result, we'll experience a tax rate in the range of 23% to 25% of pretax income for the year.
 After incurring stock-based compensation of -- expense of $12.4 million in the first 9 months of the year, we currently expect stock compensation to be approximately $4.4 million in the fourth quarter, subject to any forfeitures of stock options or share units. And with that, I'll turn it back over to Ed, who will give you some closing comments as well as our baseline calibration for Q4. 
Edward Ryan: Great. Thanks, Allan. So we're a month into Q4 and the end of our fiscal year. General areas of our business that benefit from end-of-year holiday sales such as e-commerce and truck deliveries will see an uptick in volumes, and other areas such as ocean transportation are at a seasonal low point as the inventories are already in store. Our forecasting and plans remain relatively cautious, given the general malaise in shipment volumes seen in the previous quarters this year, however, we're also mindful of the press reports with initial positive statistics on Black Friday sales volumes.
 We keep these things in mind as we set our calibration for the quarter. Our business is designed to be predictable and consistent. We believe that stability and reliability are valuable to our customers, employees and our broader stakeholders. To deliver this consistency, we continue to operate from the following principles. Our long-term plan is for our business to grow adjusted EBITDA 10% to 15% annually. We grow through a combination of organic growth and acquisitions.
 We take a neutral party approach to building and operating solutions on our Global Logistics Network. We don't favor any particular party. We run our business for all supply chain participants, connecting shippers, carriers, logistics service providers and customs authorities. When we overperform, we try to reinvest that overperformance back into our business. We focus on recurring revenues and establish relationships with customers for life, and we thrive on operating a predictable business that allows us to forward visibility to our revenues and investment paybacks.
 In our Q3 report, we provided a comprehensive description of baseline revenues, baseline calibration and their limitations. As of November 1, 2023, using foreign exchange rates of $0.72 to the Canadian dollar, $1.06 to the euro and $1.21 to the pound, we estimate that our baseline revenues for the fourth quarter of 2024 are approximately $127 million, and our baseline operating expenses are approximately $79 million. We consider this to be our baseline adjusted EBITDA calibration of approximately $48 million for the fourth quarter of 2024 or approximately 38% of our baseline revenues as at November 1, 2023.
 We continue to expect that we'll operate an adjusted EBITDA operating margin range of 40% to 45%. Our margin can vary in that range, given such things as foreign exchange movements and the impact of acquisitions as we integrate them into our business. We've got lots of exciting things planned for our business. It remains an uncertain broader economic and supply chain environment, but we believe our proven track record of execution, solid capital structure and customer focus will serve us well.
 Thanks to everyone for joining us on the call today. As always, we're available to talk to you about our business in whatever manner is most convenient for you. And with that, operator, I'll now turn it over to you to manage the Q&A portion of the call. Thank you. 
Operator: [Operator Instructions] Your first question comes from the line of Matt Pfau from William Blair. 
Matthew Pfau: Wanted to ask a question on competition and on the macro. So one of your public competitors had some notable struggles this past quarter, and there's another private competitor that went out of business. Just wondering if you're seeing some of the same headwinds that they're seeing and some of their struggles is having any impact on you competitively. 
Edward Ryan: Thanks, Matt. I mean, I think we saw some of the things that impacted them. We obviously fought our way through it and ended up with pretty good results. The 2 companies you're talking about may have been in a different position in that things went bad maybe with transaction volumes, and when the customers suffered as a result, and they didn't have any other products or services to make up for it.
 We obviously were in a different situation and we're able to take advantage of that. And sometimes, competitors struggling end up being good news for you because customers turn elsewhere, and it also makes them potentially concerned about who they're doing business with and when you're a strong company like Descartes, that ends up playing in our favor. 
Matthew Pfau: Got it. And then just on the services revenue that did tick down sequentially, was that driven by some of the headwinds on the transaction side that you cited? 
Edward Ryan: I think so, yes. I mean, we had a very strong quarter but it probably would have been better if some of our customers' volumes were doing even better. The -- it wasn't a horrible quarter. I think people predicted it was going to be a lot worse than it was in terms of our customers' transportation volumes. And we have the benefit of continuing to sign up new customers in the face of that.
 So we did all right in that period. Probably would have done even better if that part had gone well. And we had a bunch of other parts of our business that I mentioned on the call that were really doing well, so that kind of more than made up for it. So we're happy with the result under the circumstances, for sure. 
Operator: Your next question comes from the line of Justin Long from Stephens. 
Justin Long: Ed, maybe building on that last question, could you share what your -- how your transportation volumes performed on a year-over-year basis in the quarter? And Allan, I heard your commentary around organic growth for the services revenue line, but do you have the estimate for all-in organic growth as well? 
Edward Ryan: I don't know that I have the exact numbers, Allan, year-over-year, but if you could jump in. 
Allan Brett: Yes. So if we want to talk about organic growth numbers, we're just over 9% on the services side and just very, very similar to that overall in the business. There was certainly some slight negative impacts on FX that would have affected the question Matt just had with respect to our services revenue being down slightly quarter-on-quarter. That was -- they were up actually neutral with FX, but roughly 9% in both services revenue and total revenue for the quarter. 
Justin Long: Okay. And any sense on transactional volumes on a year-over-year basis, even if it's just kind of directionally? It sounds like maybe there was pressure year-over-year. Or any additional color you can share there? 
Allan Brett: Yes, there was definitely some pressure year-on-year. We certainly did better with our subscription services for software and databases. But as Ed said a couple of times in the prepared comments, we kind of expected that. Our business is built to deal with those types of fluctuations.
 Those are not new for us. We'll see those types of things happen from time to time. Quite honestly, we've probably seen weaker transactions in the last 12 months. But overall, what matters for us is the overall blended growth rate, and the business is built to grow, and the 9% overall is more of our focus. 
Justin Long: Got it. And I guess lastly, Ed, could you just talk about the acquisition pipeline? Curious what you're seeing today versus a quarter ago and your level of confidence that we can see capital deployment pick up the next couple of quarters or so. 
Edward Ryan: Yes. Without getting into too much detail on it, we like the environment we're in right now. A couple of years ago, there were not many companies for sale and the ones that were, in our estimation, were oftentimes trying to charge too much. It made a difficult acquisition environment for us. Things are certainly softening from that perspective and creating opportunities for us to get more deals done in price ranges that we think are good value.
 More companies are coming up for sale, and as a result and maybe in addition to, companies are coming up for sale with a more reasonable expectation on valuation, and that's creating an environment where we think we're in a very good position to get more deals done in the future. 
Operator: Your next question comes from the line of Daniel Chan from TD Cowen. 
Daniel Chan: Maybe to follow on that last question. The cash balance continues to grow. You're now at about $280 million, and you do about $200 million of free cash flow a year, which is more than you've typically spent on acquisitions in prior years. So any other considerations for that capital, just given the strong cash balance and the strong cash flows? Or do you think you'll be able to deploy that towards acquisitions over the next few years? 
Edward Ryan: Listen, I mean, we're making more and more money every year and that's great. We only buy companies when we think it's a good deal. And if that means we have extra cash, then that means we have extra cash. We're not going to apologize for that. We absolutely think that the winner in our space is going to continue to be acquisitive, and we absolutely believe that there are many more companies that are acquisition candidates for us.
 So while we talk about it at our Board level, we'll discuss every quarter, should we have a dividend? Should we somewhat give this money back to shareholders, share buyback, whatever? But at the moment and I think for the foreseeable future, we believe that, that money should go towards acquisitions. And it's not really going to harm us at the moment to have more cash sitting in the bank. It's actually a good thing.
 Our company continues to make more money. And as we look forward and say, "Hey, we think we're going to like this future acquisition environment." Go ahead, I think we'd be smart to hang on to it and be ready to act if a bunch of stuff comes up for sale at the same time. We certainly think we have the team to negotiate, purchase and integrate those types of companies when they come in, and we want to be ready when that happens. So that's why you see us holding on to our cash. 
Daniel Chan: That makes a lot of sense. Maybe another question on the macro environment. You talked about weaker volumes last quarter. Just wondering whether you saw that extend into the peak holiday shopping season over the last month. We've seen headlines at Black Friday, Cyber Monday volumes. 
Edward Ryan: Well, listen, we're not reporting on this month, but I have seen some of the transportation statistics unrelated to our transaction volumes, and I'd say they look good. And you can probably see some of that as you read the paper right now. Black Friday was a pretty good Black Friday is the reports I'm reading right now.
 And when I look at -- and again, independent of our transaction lines, when I look at the transportation statistics that we would normally look at over the last month, they look at starting -- things certainly were starting to pick up in anticipation of Black Friday. So that's good news. 
Operator: Your next question comes from the line of Scott Group from Wolfe Research. 
Scott Group: Ed, I just want to follow up on that last point, because I think we're seeing a little bit of better import activity, better air freight rates. You're saying you're not reporting on that. But is that sort of -- to the extent that you are seeing that, is that -- would that be reflected in your calibration? 
Edward Ryan: Calibration was done at the first day of the quarter, so technically, no. And my comment about not reporting on it is just saying, "Hey, I'm reporting on through the end of the quarter, not the first month of the first quarter." And specifically to your question, our calibration this quarter was done as of the first day of the quarter. 
Scott Group: Okay, that makes sense. Okay. I wanted to get your perspective. A year ago, we were talking about just-in-time is becoming just-in-case. I'm wondering is, with much higher rates, are we just -- is that sort of done or are we back to just-in-time? And how does that -- is that a good thing or a bad thing? 
Edward Ryan: We'll probably -- I mean, it's a bit of a guess on my part. We're just getting some comments from customers about this, but I don't know this perfectly. But we always believe that just-in-time, now just-in-case, we've always believed it would end up gravitating towards back just-in-time.
 People forget about how bad it was 3 years ago when the ports were all backed up and then they start going, "Boy, I'm losing a lot of money and inventory carry costs have had all this extra stuff and now interest rates just went up significantly. And so now that's a lot of money and I should be more careful." And we always believed that it was going to drift towards back that.
 And I'd say -- if I had to venture to guess, we're probably somewhere approaching back to just-in-time in a lot of cases because high interest rates and the warehouses are only so big and you can only hold so much inventory, and you've got to make good approximations about what customers are going to buy in stores and companies are always going to try and do that. And I think we're drifting back towards just-in-time for sure, in most cases. 
Scott Group: Makes sense. And then just lastly, a nice step-up in the EBITDA margin. Did we see the full impact of some of the cost actions this quarter? Or do we see more of that show up in Q4, and so maybe we see another further step-up in the margin? 
Edward Ryan: Yes, let me let Allan answer that more specifically. 
Allan Brett: Yes, sure. So we did initiate our restructuring plan earlier in the quarter. So for the most part, we've completed it, and the results are in the quarter. There will be a little bit of an impact coming through Q4, given that there will be a full quarter impact for all the changes. But for the most part, Q3 had most of it baked in, if that helps. 
Operator: [Operator Instructions] Your next question comes from the line of Robert Young from Canaccord Genuity. 
Robert Young: The first question was asking about the shutdown of a private competitor. Maybe just another question there. A lot of reports in the news suggested that they really struggled to find a strategic buyer, that there is not a lot of activity out there. And so like is there a big sea change or is there a bigger change in the number of buyers or the interest in the space that puts you in a better position competitively or... 
Edward Ryan: While I knew who they were talking about when they asked the question a couple of questions ago, and I didn't bother disagreeing with the question, I don't know that we're the technically competitor of the guy that he was talking about going out of the business. They're more of a freight broker. They had a business that was an electronic freight brokerage, and that's not something we would buy. That's a customer of ours. They were a small customer of ours.
 And furthermore, when I -- this has happened, like -- I've watched this movie like 30 times in my life, where a company comes in that does the same thing as everybody else in an industry and says, "I'm going to be the automated guy that does that." And every time I hear that, I'd go, that's a misnomer. You're trying to pretend like you're a technology company, when in this case, you're a freight broker. And you're saying that the reason that we should invest in your freight brokerage is because you're going to be more automated than everyone else.
 And I always think to myself, even if that creates an advantage for you for some period of time, it's not going to last long because your competitors are going to buy automation from people like us that provide automation in this industry. And that advantage will evaporate in short order, and you'll be back to being a freight broker with no significant advantage over anyone else. I think that's what happened here.
 I think in addition to that, because they raised a lot of money, they dumped a lot of money into becoming an automated freight broker. And as a result, they had a big burn that was hard to overcome when things went back to normal. And as a result, they went out of business. And we didn't even look. That's not something we would buy. And that's maybe one of our competitors -- sorry, one of our customers would buy. And they didn't.
 I think the competitors probably thought, "I'll just steal those customers from them, and that will be the end of it." That'd be my guess as to what happened there. But that -- for us, that business, we were just looking at from afar. They were some minor customer of ours. We were aware of what's going on but not particularly interested in any of the assets. 
Robert Young: Okay. Second question for me would be about, I think on the call, you've been talking about maybe offsetting weaker transaction volumes than you expected with maybe better subscription side. And so I was curious, is that consolidation? Is there any other factor there maybe to call out? Are customers... 
Edward Ryan: No. I mean -- no. Listen, we have a bunch of areas in our business that are booming. We have transaction volumes that are stuffed in like -- a little over 30% of our business that have always and will always fluctuate up and down a little bit. Every once in a while, you've seen them fluctuate down a lot, like in '08. But even that a lot is 8%. That was -- they were down in all of '08, 8%. And I think, geez, why is that? Because most of the stuff that we use still has to ship.
 And maybe in good times, we're all buying lobster, and in bad times, we're all buying chicken, but it's the same shipping volume. One costs a lot more than the other. And maybe we don't buy boats and jet skis for a couple of years, but most of the stuff that we need to live and run our households still gets shipped, and we get that shipping volume. So even in the worst of times, an 8% down for the worst it's ever going to get is not that much.
 And these variations in our business happen from time to time. Guys like us need to be prepared for it. And fortunately for us, we have a broad enough business where we have a bunch of other things that are really going great, so that when the transportation volumes are a little weak like they were in the last 6, 8 months, while they were recovering but not as strong as we'd like to see them, our business continues to perform well through that. And I think that's a great sign of a resilient business, that -- something like volumes go down, and we -- our answer to that is nothing to see here. We continue to do well. 
Operator: There are no further questions at this time. Please continue. 
Edward Ryan: All right. Great. Thanks, everyone, for your time. We look forward to seeing you in the coming weeks and months and reporting back to you next quarter with the Q4 results. Have a great day. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.